Operator: Good morning, and welcome to the AngioDynamics Fiscal Year 2021 First Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. The news release detailing the fiscal 2021 first quarter results crossed the wire earlier this morning and is available on the Company's website. This conference call is also being broadcast live over the internet at the Investors section of the Company's website at www.angiodynamics.com, and the webcast replay of the call will be available at the same site approximately one hour after the end of today's call. Before we begin, I'd like to caution listeners that during the course of this conference call, the company will make projections or forward-looking statements regarding future events, including statements about expected revenue, adjusted earnings and gross margins for fiscal year 2021. Management encourages you to review the Company's past and future filings with the SEC, including without limitation, the Company's Forms 10-Q and 10-K, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. A slide package offering insight into the Company's financial results is also available on the Investors section of the Company's website under events and presentations. This presentation should be read in conjunction with the press release discussing the Company's operating results and financial performance during this morning's conference call. I'd now like to turn the call over to Jim Clemmer, AngioDynamics’ President and Chief Executive Officer. Mr. Clemmer?
Jim Clemmer: Thank you, Melissa. Good morning, everyone. And thank you for joining us for AngioDynamics’ fiscal 2021 first quarter earnings call. Joining me on today's call is Steve Trowbridge, AngioDynamics' Executive Vice President and Chief Financial Officer, who will provide a detailed analysis of our first quarter financial performance. I am excited that we're able to report a strong first fiscal quarter, while remaining focused on profitability and on managing our cash and balance sheet, despite the impacts of COVID-19. Throughout the quarter, we observed solid improvement across our end markets as hospitals and local governments continued to navigate the pandemic. These effects have been largely localized. We are observing variability in the pace and magnitude of recovery throughout our various geographies. We view these positive signals as encouraging, but we do not anticipate the demand environment to return to pre-COVID levels in the near-term and we currently expect the demand for this year will be roughly 10% to 15% below pre-COVID levels. Despite this headwind, we have a line of sight into growth and we expect that we will be profitable this fiscal year, which Steve will cover in more detail shortly. Turning to our results for the quarter. First quarter revenue of $70.2 million increased 6.3% year-over-year, inclusive of the order in the UK we discussed with you last quarter. In addition, we reported adjusted earnings per share of $0.02 for the quarter, reflecting our commitment to growth, as well as our ability to manage expenses and cash in response to the COVID-19 pandemic. I am extremely proud of the entire AngioDynamics’ team for the way it has continued to execute in the face of this difficult market. Our team's ability to constantly adapt to such a dynamic environment has resulted in year-over-year sales growth, while our dedication to expense management has allowed us to maintain profitability. The team also continued to demonstrate an unwavering commitment to upholding the quality of our products and to helping patients and customers attain better outcomes. Additionally, we remain committed to supporting and progressing our key growth initiatives as demonstrated by our recent announcement of the commercial launch of our Auryon Atherectomy System, which I'll discuss a bit later on the call. As we continue to progress throughout the year, our ability to provide products to customers and patients remains our priority. I am pleased with our ability to balance growth investments, operating expenses, and disciplined capital management. And I believe that we remain well-positioned to return to a more normalized level of growth, as the macro environment begins to stabilize. We've maintained a solid financial foundation and continue to execute a compelling strategic transformation, led by our key technology platforms. To drive these key technology platforms forward, we continue to focus our spending on two areas during the quarter, internal research and development; and clinical and regulatory pathway expansion. Let me update you on our accomplishments in each of these areas. On the R&D front, we continue to focus investments on our three key technologies, AngioVac, Auryon and NanoKnife, while seeking out ways to increase the profitability profile of our other products. We continue to see strong interest in the recent launches of our NanoKnife and AngioVac platforms, and we remain focused on further developing these platforms. During the first quarter, we saw continued strength from our AngioVac platform. And as we've mentioned in the past, we are investing in the expansion of this platform in calendar 2021, which will open up a significantly larger piece of the addressable market. I am thrilled that we were able to announce the commercial launch of our Auryon atherectomy laser. Our team has been working diligently for nearly a year to establish a robust and efficient supply chain, build out a dedicated sales and marketing channel and develop physician and sales training programs in preparation for this product launch. We have already seen strong interest and significant traction during the limited release phase, as evidenced by the more than $1 million in Auryon revenue and the 500 cases that were performed during the first quarter, as well as the fact that we currently have 47 lasers in the field and a robust pipeline of upcoming installations. We continue to anticipate Auryon revenue in the range of $7 million to $10 million in fiscal year 2021. Now that the commercial launch is officially underway, our sales force is committed to educating potential customers on the benefits of this revolutionary technology. And I am optimistic that they will quickly see the value of this product for both, their patients and their practices. The second driver of our transformation is clinical and regulatory expansion and data generation, which are foundational pillars of our strategy. Our PATHFINDER and DIRECT studies remain a primary focus and continue to require a certain level of flexibility in this current environment. We continue to see hospitals gradually opening back up and activity in these two studies continuing to improve. As of today, 23 DIRECT study sites have secured IRB approval, as we have added two additional sites since our last quarterly call. Additionally, last quarter, we announced our expanded indication for our Uni-Fuse thrombectomy product that now allows for the administration of fluids into vessels that are impacted by thrombus, including both, the peripheral and pulmonary arteries. This additional indication is consistent with our long-term strategy of building out along the continuum of thrombus management and developing a robust technology platform that will address thrombectomy of any complexity. While, like last quarter, I didn't specifically mention M&A as an area of focus spending in the first quarter, it will continue to play an important role in our transformation. We continue to pause any M&A activity until we are comfortable that the COVID pandemic is behind us, at which time we will then resume our disciplined approach of identifying appropriate M&A targets and assessing strategic opportunities. With that, I'd like to now turn the call over to Steve Trowbridge, our Executive Vice President and Chief Financial Officer.
Steve Trowbridge: Thanks, Jim, and good morning, everyone. Before I begin, I'd like to point you to the presentation on our Investor Relations website, summarizing the key items associated with our quarterly results. Similar to the last two quarters, I’d note that with respect to the first quarter and our business moving forward, we will provide slightly more inter-quarter detail than we would in a normal operating environment. Our net sales for the first quarter of fiscal 2021 increased 6.3% year-over-year to $70.2 million. As has been true in our recent quarters, the ongoing recovery has had a varying impact on each of our three businesses. Our VA and VIT businesses performed the strongest during the quarter, as the number of procedures improved off of the COVID lows we saw in the second half of last fiscal year, but still remained below pre-COVID levels. Our oncology business continued to face pressure from COVID-related procedure headwinds and a tough capital spending environment. We performed a deep analysis of our business on a same customer basis. And that analysis has indicated that volumes are still down 10% to 15% from pre-COVID levels. We expect this to remain consistent throughout the course of fiscal 2021, assuming recovery continues along its current trajectory. Our total VIT business increased 3.3% year-over-year, driven by AngioVac sales growth of 46% compared to the prior year's quarter, somewhat offset by a 16% decline in venous sales, as a result of a lower number of elective procedures being performed. Our venous business is a business we would expect to be most impacted by elective procedure delays, stemming from the COVID pandemic. Our VIT business also benefited from $1.1 million in sales related to Auryon during the limited release phase. As Jim mentioned, we are very excited to have officially launched Auryon. And we anticipate this product will represent an increasing part of our VIT business moving forward with sequential quarterly improvement anticipated throughout the rest of this year. Vascular Access revenue increased 21.4% during the quarter. Growth in this business was driven by solid growth in PICCs and midlines for the second straight quarter, which helped to offset slight declines of ports and other access. As discussed last quarter, we had a sale of approximately $5 million to the NHS through our distribution partner that we do not expect to repeat. Excluding this sale, our Vascular Access revenues declined 1.2% year-over-year. Revenue from our oncology business declined 12.3% during the quarter as oncology procedure volumes continued to be negatively impacted by COVID-19 in many of our key geographies. Total NanoKnife sales declined roughly 25% year-over-year against a difficult capital sales comparison. Excluding capital sales, NanoKnife probe sales declined 5% in the quarter as 7% U.S. probe sales growth was more than offset by softness in China due to the ongoing impacts of COVID-19. As a reminder, many NanoKnife procedures occur subsequent to multiple rounds of chemotherapy, and patients are immunocompromised as a result. As you can appreciate, many of these patients are cautious about returning to hospitals and operating rooms, resulting in procedural volumes that are below pre-COVID levels. Moving down the income statement, our gross margin for the first quarter of fiscal 2021 was 50.9%, a decrease of 700 basis points compared to a year ago. As we mentioned last quarter, this decline was anticipated, given the ongoing focus on employee safety and product availability. Approximately 500 basis points of margin headwind was related to the planned underabsorption in our manufacturing facility. However, we reported a significant inventory reduction during the quarter of $7.2 million, leading us to take the full impact of the underabsorption during the first quarter. Our plans will have an impact on our full year gross margin as we continue to assess the shape and timing of the COVID-19 recovery. We expect to finish the year with quarterly gross margin running closer to pre-COVID levels. Our research and development expenses during the first quarter of fiscal 2021 were $9 million or 12.8% of sales, compared to $6.3 million or 9.5% of sales a year ago. As we discussed in previous quarters, we remain focused on strategically investing in R&D to further develop our NanoKnife, AngioVac and Auryon products, while continuing to drive the profitability of our other businesses. We remain thoughtful about our investments in light of the current environment. However, we intend to maintain investment in our key growth drivers while being more judicious in our investment in other areas of the portfolio. While we reserve the right to pull back on these investments if the environment changes meaningfully, for fiscal '21, we now anticipate R&D spend to be between $35 million and $40 million, with the increase over our prior expectations coming as a result of additional investment and expanding our AngioVac and NanoKnife platforms. SG&A expense for the first quarter of fiscal '21 decreased to $26.3 million, representing 37.4% of sales, compared to $27.8 million, representing 42.1% of sales a year ago. We expect a slight increase in SG&A expense in the second quarter as we support the commercial release of Auryon. We're continually assessing controllable discretionary spend with an eye toward cash management while maintaining investment in our key technologies. So, we continue to anticipate SG&A spending during fiscal 2021 to be between $123 million and $127 million. Our adjusted net income for the first quarter of fiscal '21 was $0.6 million, or earnings of $0.02 per share, compared to adjusted net income of $3.2 million or $0.08 per share in the first quarter of last year. Adjusted EBITDA in the first quarter of fiscal '21 was $4.5 million, compared to $7.3 million in the first quarter of fiscal 2020. Turning now to our balance sheet. In the first quarter of fiscal '21, we began with roughly $54.4 million in cash equivalents and we used $5.4 million of cash in operating activities with a significant portion of that attributable to seasonal Q1 expenses. During the first quarter, we had capital expenditures of $1.8 million. As of August 31, 2020, we had $47.9 million in cash and cash equivalents and $40 million in debt outstanding. Turning now to guidance. Based upon what we are currently seeing, we anticipate that fiscal year 2021 net sales will be in the range of $278 million to $284 million, and full year adjusted earnings per share to be in the range of zero to $0.05. We're obviously in a very fluid environment as a result of COVID-19, requiring us to analyze a number of different scenarios. The guidance we're providing you today is predicated on the current trajectory of the COVID-19 pandemic. If the environment changes meaningfully between now and the end of the year in our key geographies, we may need to adjust expectations and we will communicate any changes accordingly. With that, I'll turn it back to Jim for a few closing remarks before we begin the Q&A portion of the call. Jim?
Jim Clemmer: Thanks, Steve. As I mentioned in my introductory remarks, I am pleased with our performance this quarter. I'm proud of the great job that our team did to maintain focus on our key growth initiatives while remaining disciplined and continuing to execute, despite the dynamic environment brought on by the COVID-19 pandemic. While we do not anticipate a return to pre-COVID levels of demand in the near term, we are continuing to see positive trends emerge in our end markets. Our team will continue to adapt to the ever changing macro environment. And we remain committed in our transformation, which is driven by the execution against our key priorities and continued investment in our key technologies, key technology platforms and growth initiatives. I want investors to understand that we are dedicated to performing a transformation of our portfolio through the development of higher technology products that drive measurable clinical improvements and patient success, while empowering our customers to receive reimbursement while they use our products. As the adverse effects of the COVID-19 pandemic continue to subside, I know that AngioDynamics will be well-positioned to achieve profitable long-term growth. With that, I'd like to turn the call back to Melissa for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from line of Matthew Mishan with KeyBanc Capital Markets. Please proceed with your question.
Matthew Mishan: Good morning. And thank you for taking the questions, guys. First, could you help bridge us between the 10% to 15% procedure declines that you're expecting and your guidance, which is -- which clearly differentiates from that?
Jim Clemmer: So, what we did Matt, we looked back, and we did really deep analysis in our different product categories and geographies, trying to get, I’ll call it, “same store sales”, in a lot of our categories. When we look at some of our vascular access business and some other businesses, we can measure current customers and measure their demand over the last few months. So, we're seeing that the run rate Matt is down about 10% to 15%, on average, in many of these customers. Now, while did I say this, we know we're a bit soft on current customer demand in some categories. We're also doing well winning some share in some categories, gaining new customers and new traction with new products, like you saw with, again, AngioVac performing really, really well, based upon the customer complete pleasure with the new product, the new Auryon revenue. So, it's really a balancing act. Matt, you're asking good question. We're trying to give folks full transparency. But, the takeaway is, our current customers are still below level that we expect and even below prior year in the purchasing rates of the delivery of care rates. But yet, we expect the guidance we gave you based upon that slowly coming back a little bit in our ability to gain share and do well in the other categories.
Steve Trowbridge: Good morning, Matt. So, the way that we think about it is, as a very high level generality, we're seeing about 10% to 15% declines across the board. So, it's clear that we're not back yet to full pre-COVID levels. But, as we've talked about at the end of our Q3 call and at the end of our Q4 call, and we'll draw that hypothetical line of procedures that are elective and then some of our products will fall on one line, some will fall on the other. So, even though there's a general consensus that procedures are about 10% to 15% off their pre-COVID levels, it is different depending upon the type of product we're talking about. AngioVac is a great example. So, we saw 46% growth in the quarter. We talked about that in our Q4 call that June was a record month for AngioVac. So, AngioVac procedures are clearly coming back faster, and I wouldn't consider them to be in that bucket of 10% to 15%. Laser on the other hand has clearly been the most impacted by COVID. So, that's probably off of that 10% to 15%. You can think of our VA business as being a good bellwether. And we're -- as Jim mentioned, we're seeing same customer sales at that 10% level, but we're also getting some wins, which is allowing us to have a line of sight to growth. So, when you think about our overall portfolio, you add in Auryon, we're very pleased with the first quarter performance. We expect that trajectory to continue through the rest of the year, as well as strengthen AngioVac and it's some of these wins we're seeing throughout the other areas of our business. It's clear that we're off -- that this overall market is off 10 to 15 and not back to pre-COVID levels, but on top of that, we absolutely have a line of sight to growth and that's embedded in the guidance that we gave you today.
Matthew Mishan: And then, I modeled out the guidance this morning, fairly quickly just first blush. Sales don’t necessarily need change too much on a sequential run rate from where you're at today, don't need to change too much from the quarterly run rate, but gross margin has to increase dramatically, given your SG&A and R&D guidance, to hit the EPS. What changes over the next like several quarters that allows you to get back to that mid to high 50s from where you're at in the first quarter?
Steve Trowbridge: Yes. Matt, there's a couple of things that will change. So, we talked about the significant underabsorption that was planned in Q1 and the fact that we were able to bring our inventory levels down by $7.2 million. That's a big change. So, that led to a significant decrease in our inventory turns which led us to take all of that underabsorption as a period cost in Q1. We don't expect inventory levels to continue to go down $7 million each quarter. We're going to bring it down more. But without that type of decrease, the under absorption will start to minimize a bit from where it was in Q1, that we also had some mix. So, we talked about the UK order. It was a big order. It was one time but that was at a gross margin that was slightly dilutive what you would expect on all of our corporate margins. So, that's going to have an impact that won't repeat. So, mix as well as a decreasing pressure on underabsorption will allow us to see some significant improvement in gross margin going forward.
Matthew Mishan: And then, just lastly, just your thoughts on free cash flow for this year. I think, it wasn't too different from where it was from the first quarter of last year. But you also did have that inventory wind down that would have been a working capital boost. So, how you think about free cash flow for '21?
Steve Trowbridge: Yes. So, we expect that we will generate cash at the end of the year. So, when we exit our '21, we expect to have increased our cash balances from where we finished FY20. It'll be a moderate increase. But, the reason we're able to get there, while we're balancing the increased investments that we want to have in areas like AngioVac, Auryon and NanoKnife is what we talked about through this COVID pandemic and some of the levers we've been able to pull, making sure we're cutting back on discretionary spending, clearly across the board, travel and entertainment isn't happening as much as it used to in the past. So, we've got some areas where we can definitely tighten down expenses, while maintaining the proper investments in growth. So, we suspect that we'll be exiting the year having created some positive cash.
Operator: Our next question comes from the line of Jayson Bedford with Raymond James. 
Jayson Bedford: Hi. Good morning. Just, I guess a few questions. One, to follow-up on the last line of questioning. Gross margin was outside of the NHS order. Was pricing in the quarter fairly consistent?
Jim Clemmer: So, Jayson, it's Jim. Good morning. We didn’t adjust price very much at all. It wasn't really a factor. I want to remind folks again, I think we spoke about in our Q4 call, back when the pandemic hit us in mid March, We ran our manufacturing quality operations and we also did things to reduce efficiencies that we always strive for. Quality is number one in our plans, efficiencies are number two. But, we have to take care of patient safety and that really -- I mean our employee safety. So, we did things that affected our efficiencies, making sure our people were safe, operating in this COVID environment. So, we gave up some of that room on efficiencies. That will slowly get back during the course of the year as our people now are working in this environment really helping us be more efficient along the way, keeping their safety priority. So, some of that, Jayson is baked in, it's a couple of things. I wouldn't look at price. We've actually had a little bit of price because of our technology shifts with AngioVac, the new launch last year that we talked to you that price went up, we've seen some positive price with the Nano probes, it's now with the new NanoKnife system being launched last year. So, it can be a little challenging, but you have to trust, a few factors went in and price wasn't really one of them.
Jayson Bedford: You mentioned earlier in the call variability in the recovery across geographies. If I back out the NHS revenue, international looked a little bit weaker than I would have expected. U.S. was pretty stable and certainly improved from last quarter. Are there any pockets of geographic weakness you would call out?
Jim Clemmer: We think you kind of identified what we've talked about that. So, our European business is under some pressure in pockets. Operating theaters, if we could talk about just the UK for a moment, we’re very, very close to some of our large customers there who walked us through the changes and challenges they faced in their operating theaters of how their efficiency levels are down, the treatment opportunities are down, so their volumes are down. And at some point, they were off in many cases. In China, we talked about I think in the prepared remarks, we've had some Nano slowdowns in China. So, we look at Europe and China as our two softest markets. But, there are still issues like if you look at Brazil right now, the issues with volumes in Brazil, Latin America. Canada had issues. They're coming back slowly. But we'll probably see that Jayson, the U.S. will probably outperform our outside of U.S. markets even going forward for the next little in the horizon here.
Jayson Bedford: Okay. And can we assume that trends have improved in the month of September as well?
Jim Clemmer: Yes, we can. I know we gave -- in the last call, we gave folks a little bit a look into the June numbers. Here, we're not done in September, the way this call fell this week. But, we have seen -- similar to what we said before, just anecdotally customer behavior, even engagement with us Jayson, small levels of anecdotal behavior they're asking our reps, hey come on in and talk. Maybe your products are going to come up on a value analysis committee that was delayed for three months. So, we're seeing some of these small anecdotes that are positive and then those effects. And so, to answer your question, yes, small, good, incremental gains again in September that we can report to you soon.
Steve Trowbridge: I think, that's right, Jayson, and more than anything I would talk about the stabilization that we've seen kind of July, August, September. So, we talked about April was being clearly the natter with some steady improvement happening in May and then nice increasing improvement in June and then steadiness in terms of July and August, into September. And I think that's what also gave us that increased visibility and that increased experience to come out with the guidance.
Jayson Bedford: Okay. And just last line for me. Auryon launch, can you just give us a little feel for how the device and where the device is being used? Meaning, are you displacing laser in terms of case mix, is it a little bit more above the knee versus below the knee? Any flavor there would be helpful. Thanks.
Jim Clemmer: Sure. So, right now, Jayson, in many of the cases, the first that we just mentioned earlier, we have 47 lasers placed in the field already prior to the official launch, which was last Monday. Most of those cases, the customer had experience with the other laser in the market. In a lot of the cases, they're going to use our laser with one of the other mechanical options that a few companies provide. We think the balance of our product and one of the mechanical options really gives them the confidence to treat any lesion today above or below, hard or soft calcification. Now as you know, we believe our product can probably do all of those over time. But, as we're gaining confidence with our physicians, they're going to use a blend of products over time. So, I think most cases have been above the knee, out of the gate, Jayson, out of our first -- the first, about 500 that we've treated during the limited launch phase.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Cecilia Furlong with Canaccord Genuity. Please proceed with your question.
Cecilia Furlong: Hey. Good morning. Thanks for taking our questions. I guess, if I could follow up off of the last question. Just as you're looking at building a pipeline, can you talk about the pipeline you have today with Auryon, specifically the centers that you're targeting? And then, just if you could provide further color on PATHFINDER and really the trends you've seen as COVID -- or the COVID burden has lifted.
Jim Clemmer: Sure. Cecilia, I'll answer the first part and Steve will mention PATHFINDER. So, what we've done out of the gate, it's really been customer driven. When the data was published by Eximo that got us interested in the technology, there are other physicians that have seen the data too. It's really, really compelling. So as I mentioned before, we've had a limited market release. We didn't do any advertising and promotion. As you know, we started to hire our selling and marketing team in the last couple of months. We've got a really, really good team of people. So, they bring with them some customer relationships, because they were engaged in the atherectomy business prior to joining AngioDynamics in almost every case. They've also had customers who sell the data and said, hey, guys can I give that a try? So, now we have a staged approach in our limited market release period which ended last Monday about being able to service some of those folks letting them try our laser. As you know, there is a balance of the office-based laboratories that do these procedures and in-hospital areas. We probably have had much more OBLs out of the gate almost because of with the COVID situation, some of the hospital customers have delayed value analysis committees and purchasing decisions, which has been fine for us, because we've been able to service some of the OBL demand that was created. Over time, we'll see more hospitals come on. But really Cecilia, with very limited marketing not until last Monday, we put our website online, I hope you go and look at it. But now we also do have a backlog of interest in orders already that we'll service. And we're being very judicious in our manufacturing and quality capabilities, making sure that we make the catheters to the quality levels that AngioDynamics customers can expect and also producing the lasers to a level that we can service these customers out of the gate. And that's really where we are. But, we have a good pipeline, we're pleased with it. And as we add more sales reps on each quarter, they will build that pipeline out as well.
Steve Trowbridge: And then, with respect to PATHFINDER, Cecilia, we're very pleased with the way that the PATHFINDER study and registry is progressing. We typically don't give the play by play in terms of enrollment. However, what we can say is that this registry, if you compare it to something like our DIRECT study, a little less hurdles to get into it and we clearly noticed that. But, our users have been very supportive of our data generation activities and our commitment to continue to collect data as we launch Auryon. And the registry enrollment is going right along with our expectations. We've been pretty happy with it.
Cecilia Furlong: And I guess, if I could turn to AngioVac, could you just talk a little bit more about some of the specific areas driving strength in the quarter, as well as really just the broad market dynamics that you're seeing in the field, and really how those dynamics have evolved as COVID has progressed? Thank you.
Jim Clemmer: Sure. So, a few things happening, and we'll take you back again to last fall when we've launched the new AngioVac 3.0 version. And it really took into account what some of the customer feedback was on our past device. So, we've seen really, really strong uptick Cecilia in a couple of different ways. We're watching new users having to now using the 3.0 version that didn't use our past device. So, we have new users that have not used it as a treatment option for people with severe clot. And we're also seeing people who have used the device in the past use it in more cases because of the significant outcomes they're experiencing. So, as we mentioned to you in the last call, we saw that June was a record month for case procedure. You saw the numbers we reported this morning, really, really strong, not just sales but more importantly the actual cases performed were the most we've ever performed in a quarter, even while COVID was impacting it. I think it's a testament to what the device does, how well it works in this case. Now, back to your larger overriding question. Again, we, like a few other companies, see mechanical thrombectomy being chosen as a treatment platform at a more rapid pace, really because I think physicians are gaining confidence in not only our device, but three or four other good devices on the market as really good treatment option. So, we believe it's a really healthy growth area as mechanical thrombectomy will be chosen by physicians to treat folks afflicted with clot. So, as we've also said and I mentioned it earlier, in calendar year '21, we plan to launch a new device using the basic fundamentals of how AngioVac works, but a much more appealing product for physicians who want to treat less acute clot, less acute cases. So, for us, what does that means? We're going to open up our market. So today, we may compete in a market that you could argue is $50 million to $70 million of the total addressable market. And now we're going to go into much, much larger market expansion. And over the next couple of quarters, Cecilia, we’ll walk you through in more details as we get closer to that launch next year.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the floor back to Mr. Clemmer for any closing comments.
Jim Clemmer: Thank you, Melissa. So, I'd like to remind folks on the call today, again, I'm pleased with how our Company responded to the COVID-19 pandemic. We have a really strong base of employees who are dedicated and committed to producing quality products that treat people and provide high outcomes for our physicians and the patients that get treated. We are also, as a management team, transforming our Company. And again, we've shown you through our actions more importantly than our words that we're driving our transformation through our portfolio, getting into markets that are larger and also driven by outcomes that our technology drives. So, this is the future of AngioDynamics, a technology-driven Company that provides measurable outcomes to patients in need. So, again, thank you for joining us today. We look forward to further conversations in the future.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.